Operator: Good day ladies and gentlemen and welcome to the Q2 2011 JDSU Earnings Conference Call. My name is Keisha and I’ll be your operator for today. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I would now like to hand the conference over to Mrs. Michelle Levine Schwartz, Senior Director of Investor Relations. Please proceed.
Michelle Levine Schwartz: Thank you operator and welcome to JDSU’s fiscal 2011 Q2 Financial Results Conference Call. Joining me on the call today are Tom Waechter, Chief Executive Officer and Dave Vellequette, Chief Financial Officer. Beginning this quarter we will modify the sequence of our formal commentary. Tom will begin by providing a brief overview of our earnings results, followed by Dave who will provide details of our financial performance and outlook. We will then turn the call back to Tom who will review highlights from each of our individual business segments and provide closing remarks following the question and answer session. I’d like to remind you that this call will include forward looking statements about the future financial performance of the company. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from management’s current expectations. We encourage you to look at the company’s most recent filings with the FCC, particularly the risk factors section of our annual report on form 10k filed on August 31, 2010. The forward looking statements including guidance provided during this call are valid only as of today’s date and JDSU undertakes no obligation to update these statements as we move through the quarter. Please note that all numbers are non-GAAP unless otherwise stated. A detailed reconciliation of these non-GAAP results or GAAP results, as well as a discussion of their usefulness and limitations is included in today’s news release announcing our results which is available on our website at www.jdsu.com As a reminder, the quarterly earnings press release, supplementary slides and historical financial tables are posted at www.jdsu.com/investors under the financial information section. Finally, and as a reminder, this call is being recorded and will be available for replay from the investors section of our website. I would now like to turn the call over to Tom.
Tom Waechter: Thank you Michelle and good afternoon everyone. Today we reported earnings results that are marked by a number of historical records as we continue to execute and further advance JDSU’s financial model. A good baseline for our financial results is our fiscal year 2006 when we further diversified our portfolio and became a player in the contest industry. Since that time our financial results have never been stronger. In fiscal Q2 we reported record revenues of $477.2 million dollars, record gross margin of 48.8% and record operating margin of 15.3%. Our book to bill was greater than one and our market outlook remains positive. These results reflect a strong market demand for our products that carriers continue to invest to meet the needs for greater bandwidth worldwide. We are all familiar with the drivers behind the bandwidth demand; video and mobility. With the proliferation of Tablets and SmartPhones as well as internet TV and HDTV, the outlook is robust. An industry leader reports that video will be over 90% of global consumer traffic by 2014. Infoetics forecasted the compound annual growth rate of mobile broadband subscribers will be greater than 38% over five years, to $1.8 billion by 2014 with the steepest projected growth coming from emerging markets. Through collaborative innovation we are addressing our customers’ requirements for network expansion and bandwidth growth and at the same time meeting their needs to reduce costs to maintain quality of service. In doing so, we are securing leadership positions in fast growing markets for products such as ROADM, tunables, fiber optic tests and LTE tests. We are also using our technology to participate in non-telco markets such as commercial lasers, currency pigments, brand protection, jester recognition and solar and 3-D cinema. This is an exciting time for JDSU. Market drivers are strong. Our innovation, engine and pipeline for new products is robust. We continue to make progress in increasing our operating leverage. We are achieving our financial goals and progressing towards setting higher targets. Now let me hand the call over to Dave who will take you through the details of our financial performance in Q2 and will discuss our outlook for Q3.
Dave Vellequette: Thank you Tom. Before I start, please note that all numbers are non-GAAP unless I state otherwise. Q2 revenue of $477.2 million dollars was up 16% from the prior quarter and up 38.8% when compared to Q2 of fiscal 2010. Revenue exceeded our previously stated guidance. CommTest budget flush was greater than expected at approximately $20 million dollars. Optical revenues were stronger than our stated range as production increased more rapidly than forecast. Book to bill for the company was above one for the seventh straight quarter. Q2 gross margin was 48.8% of revenue, up from the previous quarter’s gross margin of 47.4% and up from Q2 fiscal 2010 gross margin of 44.6%. The Q2 gross margin’s sequential improvement is primarily due to higher contest revenue as a percentage of total revenue. Operating expenses for Q2 of $159.8 million dollars were 33.5% of revenue. It declined from the prior quarters 36.6% of revenue in the lowest level as a percentage of revenue in the last five years. The increase in expenses for last quarter is within our stated range and primarily for variable selling costs, variable pay and R&D investment. The Q2 operating margin for the company grew to a record 15.3%. Net income was $67 million dollars or $.29 per share which compares to $44.8 million dollars or $.20 per share for Q1. The increase in operating income and net income was driven by higher gross profit and operating expense leverage. A detailed reconciliation of our non-GAAP results to our GAAP results is available in today’s press release. Our Q2 non-GAAP operating results exclude, among other items, amortization of acquired technology and other intangibles of $22.1 million dollars. A $10 million dollar charge for stock-based compensation. An acquisition accounting adjustment to revenue of $3.7 million dollars and restructuring and nonrecurring charges totaling $3.7 million dollars including the noted items, the Q2 fiscal 2011 GAAP net income was $23.6 million dollars or $.10 per share which compares to a prior year Q2 GAAP net loss of $19.5 million dollars or a loss of $.09 per share. Now looking at quarterly revenue by region. America’s revenue up $243.9 million dollars or 51% of total revenue was up $37.4 million dollars from the prior quarter driven primarily by increased contest revenue from North American service providers which included the year-end budget flush and also higher optical component demand from network equipment manufacturers. EMEA revenue of $121.5 million dollars or 26% of total revenue was up $17.3 million dollars compared to the prior quarter due primarily to strengths in our contest business. Asia Pacific revenue was $111.8 million dollars or 23% of total revenue, up $11.2 million dollars from the prior quarter due to higher demand for optical and contest products. Moving to the segments. In the CCOP segment the breakout of the key metrics for optical communications and lasers is as follows. Optical communications revenue in fiscal Q2 was $168.4 million dollars, up 17.8% when compared to the prior quarter’s revenue and up 76.2% when we compare to the prior year. We saw particular strength in ROADMs, Circuit backs and tunable XFPs. All of the geographic regions grew sequentially. Quarterly ASP decline was below the midpoint of our historical quarterly range of 2% to 4%. Gross margin for the quarter was 32.9%, an increase of more than 3 percentage points from the prior quarter’s gross margin of 29.5%. The sequential improvement was driven by product mix, better factory utilization and cost reduction activities. Despite increased production throughput, lead-time stayed relatively flat from the prior quarter for most product lines. At the same time, with our increased capacity, we are able to implement VMI for one major customer for our super transport blades. Even with the implementation of VMI, our book to bill was approximately one. For optical communications our gross margin target continues to be 30% to 35%. In our lasers business, Q2 revenue of $22.7 million dollars was down 9.2% when compared to the prior quarter and up 35.9% when compared to the prior year. Revenues returned to previous levels after coming off a particularly strong Q1 where we saw our customers replenish their inventories. Gross margins were 45.5%, unchanged from the prior quarter. Book to bill was greater than one. Total CCOP revenue was $191.1 million dollars, up 13.8% from the prior quarter due to strength in our optical business. Gross margin was 34.4% and operating income was $34 million dollars or 17.8% of revenue. Profitability in this segment continues to improve due to higher revenue levels and improved product mix and factor utilization. Given current revenue levels, our new target operating model for the CCOP segment is for operating margins of 16% to 20% when revenues are above $190 million dollars. Now moving on to our CommTest segment. Q2 revenue of $231.4 million dollars was up 26.6% from the previous quarter and up 30.8% from the prior fiscal year. The sequential revenue increase was due to strength in fiber optic and broadband test, service assurance and seasonal budget flush of approximately $20 million dollars. All geographies grew sequentially. Book to bill was approximately one. Fiscal Q2 gross margin for CommTest of 60.9% was at the high end of our targeted range of 57% to 61% and up slightly from the prior quarter. The gross margin improvement was driven by a favorable product mix which included higher revenues from the NSZ business. CommTest operating profit was $44.8 million or 19.4% of revenue, which compares to 11.9% in the prior quarter and above our guided range. CommTest revenues tend to be seasonal with the June and December quarter end typically the strongest and the March and September quarter ends being lower. As previously noted our target CommTest operating model is for operating margins of 20% to 23% when revenues are greater than $215 million dollars. We are continuing to review the profitability of our product portfolio in CommTest. This review has resulted in improved gross margins and operating margins over the last two quarters. We will continue to focus on improving the operating margins of CommTest while providing innovative products for our customers. With the advanced optical technologies, or AOT segment, fiscal Q2 revenue was $54.7 million dollars, down 9.6% when compared to the prior quarter due to cyclicality demand in the currency market. As previously noted, currency products will see demand fluctuate according to the level of bank note printing needs. The decline in currency revenue was partially offset by growth in our gesture recognition business and a rebound in transaction card holograms. Book to bill was greater than one. Fiscal Q2 gross margin for our AOT business was 48%, down from 50.4% in the prior quarter due to product mix and lower revenue levels. Also annual customer contract negotiations have resulted in ASP pressure. AOT operating profit for the quarter was $17.7 million dollars or 32.4% of revenue, down $4.4 million dollars from the prior quarter due to lower revenue. Given the recent contract negotiations and increased investment in the AOT segment, the targeted operating margin range for the AOT segment is 32% to 35%. Today we are revising up our total company operating margin target. When revenues for the company are $460 million dollars or greater and gross margins are 49% or higher, the operating margin for the company is now targeted at 14% to 17%. Moving to the balance sheet. For fiscal Q2 2011 the company generated $60.7 million dollars of cash from operations. Capital expenditures totaled approximately $28.3 million dollars. At the end of fiscal Q2 the company held over $655 million dollars in total cash and short-term investments. Head count as of January 1, 2011 was 4,902. Now to our Q3 guidance. First some points to consider as you think about our financial performance over the coming quarters. CommTest revenue is historically seasonally lower in the March quarter as the December quarter revenue includes calendar year end budget flush spending from the carriers and carrier budgets are typically released in the second half of the March quarter. The December quarter budget flush was approximately $20 million dollars. Based on our current visibility, we expect CommTest revenues, after adjusting down for the budget flush, to decline by 6% to 12% sequentially. Based on our current visibility we expect CCOP revenues to grow sequentially by 6% to 10% and AOT revenues to grow by up to 3%. Optical communications ASP decline is expected to be slightly above our quarterly sequential range of 2% to 4% due to just completed annual pricing negotiations. Operating expenses are expected to increase up to $5 million dollars sequentially. A portion of that increase reflects higher employer payroll taxes and increased R&D investment. CommTest operating margins are estimated to be between 13% and 16% due to lower revenue. AOT operating margins are expected to be between 29% and 32%. Taxes, interest and other income are expected to result in a net expense of $5 million to $7 million dollars. Share count for calculating earnings per share is expected to be approximately 233 million shares. Capital equipment purchases will be between 6% and 7% of revenue as we invest in our Suzhou facility and in expanding our manufacturing and test capacity for optical communications products. Taking into consideration the factors above and based on our current visibility, we expect Q3 revenue to be between $440 million and $460 million dollars and our non-GAAP operating margin to be between 11% and 13. I will now turn the call back to Tom.
Tom Waechter: Thanks Dave. Now let me provide Q2 highlights from each of our individual business segments. I will start with the CCOP segment first optical communications. The strength in revenue is driven primarily by growth in ROADM, tunables, circuit packs which include their super transport blade and gesture recognition products. Our customers are clearly recognizing our technology leadership and we believe we are gaining share across the majority of our customer base. Revenue from products introduced within the last two years accounted for 60% of total revenue in fiscal Q2. We expect our new product revenue to continue to be 60% or more in the near term. Tunable XFPs grew over 70% sequentially and accounted for over 10% of total optical communications revenue. Our penetration across the customer base is strong having shipped to 44 different customer applications. Since its introduction, JDSU has delivered more than 21,000 tunable XFPs and we believe demand will remain strong as customers continue to design the tunable XFP into more applications within their optical network. Q2 is the first full quarter that we shipped our second generation tunable XFP that replaces 300 pin transponders in the metro regional market. We are currently shipping qualification unites to customers for replacement of 300 pin transponders for long-haul applications and expect to ramp production this quarter. Our tunable XFP portfolio is the broadest in the market and we expect to continue to expand our tunable XFP portfolio over the next 12 months. Our traction in gesture recognition continues to grow. As a reminder, we supply two key products for a current gaining platform, laser diodes from our optical communications business and optical filters from our AOT segment. Quarterly gesture recognition revenue grew sequentially but continues to be less than 4% of total JDSU revenue. We are currently working with a number of partners to expand the applications of gesture recognition technology. ROADM revenue grew over 40% sequentially and now represented over 30% of total optical revenue. We expect continued ROADM strength as carriers upgrade networks to address the increased demand for bandwidth. We introduced and qualified our low port count ROADMs to meet the cost requirements of our customers as they place ROADMs at the edge of the network. This greatly expands the total available market for our ROADMs and will add to our future ROADM growth. Our super transport grade revenue grew over 75% sequentially as additional manufacturing capacity was deployed during the quarter. Given the strength across the ROADM portfolio we continue to gain market share. Through close collaboration with our customers we are seeing strong demand for our 40-gigabit and 100-gigabit products. Our component and module road map is robust and through partnerships with our key suppliers and customers, we believe we will continue to see good traction for both line side and client side 40-gigabit and 100-gigabit solutions. Turning to our lasers business within the CCOP segment we saw a slight decline in lasers revenue but North American semiconductor equipment manufacturers restocked their inventory during fiscal Q1. Traction with our partners remains very strong. The recently launched 4 kilowatt fiber laser incorporated into the pulse laser cutting system for metal processing applications enables up to three times higher processing speed of thick materials as compared to traditional CO2 laser technologies. We are shipping in low volumes and are on track to be in full production by our first fiscal quarter. We are also developing a new fiber based class of pulse lasers. These new lasers will expand the capabilities of existing product to enable faster and more accurate micro-machining materials in cutting and marking applications. We expect first revenue from these new lasers to start in fiscal 2012. Moving onto the CommTest segment. The overall strong performance in CommTest this quarter is derived from continued strength in our addressable markets and video and mobility drive the need for bandwidth expansion and quality of service. As a result we saw continued demand for LT test solutions. According to the global mobile suppliers association, 22 LT networks were in commercial service by the end of 2010 and at least 64 LT networks are anticipated to be in service by the end of 2012. In 2011 we expect to see more operators moving from free deployment testing to launching networks followed by service assurance. Our unique end-to-end LT solution puts us in a position of strength with our customers to capitalize on all three of these stages. During Q2 we reported revenue for LT projects with both the new and existing customers across all geographies. For LT projects we currently are working with approximately 30 customers on protocol tests, 25 customers on drive tests and 10 customers for service assurance. While our customers CAPEX commitments are more weighted on wireless projects, we continue to realize revenue during the quarter for handheld wire line broadband test applications especially from emerging markets. In North America we shipped thousands of broadband handheld test instruments during the quarter. Many broadband market researchers cite the merging countries as having the biggest and fastest growing share of broadband lines and will remain the main driver of broadband growth. This is supported by our significant deals for next generation broadband test instruments in Latin America. Fiber optic test revenue grew 27% year-over-year for field and lab applications led by particular strength in Asia and Latin America. Today we announced that JDSU received the Frost & Sullivan Global Market Share Leadership Award for the fiber optic test margin. JDSU was recognized as the leading supplier of fiber test solutions critical to the build out of high capacity fiber networks and the quality delivery of video and other high bandwidth services. With steep video and data growth, we are seeing strength in lab and production for 100 g Ethernet and 40g ether net tests. During the quarter we maintained our leadership position in this segment particularly in China where our growth exceeds 20% across several top network equipment manufactures. As 40g and 100g migrate to the field, our presence in labs positions us with a competitive advantage to earn revenue as these higher speed networks are deployed. To date we shipped 35 40g and 100g units to 14 unique customers. We shipped to 3 new 40g, 100g customers in the quarter who bought seven units. The quarter delivered major contest wins across all regions including a multimillion dollar deal for Ethernet testing solutions in North America at a tier one service provider as well as continued (inaudible) 3.0 orders from the cable providers. The major European service providers selected JDSU’s test solutions for the deployment of emerging 100g and LT next generation networks. In Asia Pacific we won our first LT service assurance deal in Hong Kong and 100g testing at multiple customers in China as I had noted earlier. JDSU’s continued focus on collaborative innovation with our customers resulted in products and features introduced within the last two years accounting for over 40% of CommTest revenue in fiscal Q2. During the quarter we also introduced the industry’s first 16-gig fiber channel test solution leading the way for high speed, high capacity storage area networks. Finally we introduced new network timing and frequency synchronization features for the T-BERD MTS 6000A that helped reduce operating expenses and accelerate deployment for LTE and IP video projects. Each of these examples was the outcome of close collaboration with customers. Our remaining segment is Advanced Optical Technologies or AOT. Revenues for the quarter included continued recovery in the transaction card market as economic recovery expands as well as growth in our optical filters for gesture recognition. Currency revenues in Q2 were down as a result of cyclicality. In the near term we expect a normal run rate for the US 100 dollar bill as there is no current update in printing the new 100 dollar bill. Operator we’ll now take questions.
Operator: (Operator Instructions) Your first question comes from the line of Kevin Dennean with Citi. Please proceed.
Kevin Dennean: Great. Thanks and congratulations to everybody on a really solid quarter. I guess one housekeeping question first. Maybe I missed it but in the guidance was there operating margin in the guidance for CCOP?
Tom Waechter: No, we didn’t offer guidance in CCOP. Usually we highlight it if one of the segments is going to be operating outside of the target model.
Kevin Dennean: Okay. Great. I guess you had 20% to 23% operating margin for CommTest. You know for some time and obviously December was a big step in the right direction, acknowledging that the business is seasonal, in a down quarter how much margin compression should we think about on a going forward basis, obviously recognizing the guidance that you gave us for the current quarter but structurally should we start to think about kind of a mid-teens floor being put in for operating margins for that segment?
Tom Waechter: I think it’s more dependent on the revenue level Kevin. So as we get the revenue levels about 215 and obviously a goal of our would be to be able to do that in what you saw, the traditionally down quarter then we should be able to hit in the range we noted. So it has more to do with revenue levels and so as we give guidance on the revenue levels we now have a history of giving guidance where the operating margins should be when it’s below those levels.
Kevin Dennean: Okay great. Thanks very much.
Operator: Your next question comes from the line of Ajit Pai with Stifel Nicolaus. Please proceed.
Ajit Pai: Yeah good afternoon and congratulations on a very solid quarter.
Tom Waechter: Thanks Ajit.
Ajit Pai: Two questions. I think one and one follow-up. First one is your cash flow has begun to (inaudible) but there have been some pretty steady (inaudible) and show signs of accelerating on a go forward basis. So could you give some indication as to what the users of cash would be and prioritize them? And then also whether the (inaudible) has gotten richer right now in the potential acquisitions and the probability of additional ones as getting higher now over the next six months than it has been in the prior six.
Tom Waechter: Ajit, our priority continues to remain for cash is to look at M&A opportunities as we see those being available out there on the market and the track record for accretion for the shareholders is being good. I’d say that’s the primary use of the cash as we see it going forward.
Dave Vellequette: I think also Ajit that we’ve obviously been using the cash to expand our capacity where we see an opportunity to grow our market shares which is, we talked about that in the obstacles space and obviously in the AOT space with the (inaudible) facility. Could you repeat the second part of your question again?
Ajit Pai: Right. So how would you, if you look at the businesses and you look at the priority for acquisitions, would there be certain businesses that you are prioritizing? Are you looking across the spectrum of acquisitions?
Dave Vellequette: We do look across all three businesses. We have people who are assigned to that on a fulltime basis and each one of the businesses. So we do look across all three. CommTest is a likely candidate because of just the diversity of the market and the number of adjacencies that are potentials out there. So that’s probably gotten a heavier play in the last two acquisitions but we do look across the entire scope.
Ajit Pai: Including optical communication components?
Dave Vellequette: We have looked at that but again our goal there is to really work up the supply chain, the food chain there and not just necessarily be the largest at the component level.
Ajit Pai: Got it. Thank you so much and congratulations again on a solid quarter.
Dave Vellequette: Thanks.
Operator: Your next question comes from the line of Jeff Evenson with Sanford Bernstein. Please proceed.
Jeff Evenson: You mentioned some price pressure in AOT during the call. I’m wondering if you could give us a bit more color on what segments that’s in or is it competition or volumes that driving the price pressure and how you’re managing it.
Tom Waechter: Yeah, it has more to do with just the contracts have their normal negotiating cycles and so as you can imagine we came to a cycle and we wanted to note that as if you look at the historical operating profits of the segment, they’ve been in the, above the mid-30s and so with the current range of 32 to 35 and then we talked about for this quarter 20 to 32, we just wanted to note that those negotiations are a factor in it.
Jeff Evenson: Okay. Thanks.
Operator: Your next question comes from the line of William Stein with Credit Suisse. Please proceed.
William Stein: Thanks. Good afternoon. I’m wondering if we can dig into the optical components business a little bit. You gave us some very good details on ROADM and wavelengths (inaudible) switch and tunable XFP but could you comment as to the demand on the traditional transceivers and transponders relative to the growth in the segment?
Dave Vellequette: Yeah. I think obviously we’ve focused heavily on the differentiating products for us which are those you just mentioned at the beginning. We do still see growth in the traditional part of our business but not the accelerated growth that we’re seeing in the differentiated products. So there is an overall growth across the product line but more accelerated with the differentiated products and that’s where we’re placing the majority of our focus and development efforts.
William Stein: Great and then one follow-up if I can. Where do you see us in the cycle of customer upgrades and this equipment and the, your customers are really your customers’ customers are upgrading from 10 to 40 and in some cases 100-gig transport. Can you tell us about where you believe we are in that cycle and how much visibility you believe we have into it?
Tom Waechter: I think from a 40-gig standpoint I think we’re just really starting to see real volumes in the 40-gig side of things, so we’re starting to see growth there. I think the 100-gig is, we’re starting to see activities in the lab etcetera but we believe that any types of volumes are probably out a good year and a half to two years. LTE obviously from the wireless side is driving some new opportunities and mentioned on the call we’re starting to see a fairly large number of operators now starting to deploy LTE so that has an effect on us from a wireless side and also from the Ethernet backhaul side of the business.
William Stein: Thank you.
Tom Waechter: Yeah thanks.
Operator: Your next question comes from the line of Mark Sue with RBC Capital Markets. Please proceed.
Mark Sue: Hi, thank you. Hi Tom, hi Dave. A question on the growth sustainability and also your competitive position. If we start with optical, the acceleration and growth, do you think that’s driven by end-demand and some product cycles from the network manufactures or do you feel it’s about (inaudible)? And as it related to your differentiated products, does it seem like you’re distancing yourselves from the competitors and I ask because I think a lot of these people aren’t working on tunable XFPs and ROADM circuit packs. If you could give a sense of how you’re feeling competitively.
Tom Waechter: Yeah I do think it’s a broader type of demand. I think will all the, as we mentioned, all the video and demand of some of the new smart devices on the network, it’s a pretty broad demand across the network so we see both the deployment of new networks and upgrades. The present now works and the upgrades play very nicely into these, some of the new products; the tunable XFPs and the ROADM products that provide more flexibility into the market. Can you repeat the second half of your question?
Mark Sue: Sure. When it comes to differentiated products it seems that a lot of companies are working on tunable XFPs and ROADMs as well and a lot of these products may be introduced shortly at OFC. I’m just wondering how you feel competitively and maybe your comfort with a distance gap between yourselves and the others?
Dave Vellequette: I think it’s something we always keep a close eye on but we do have a nice lead as far as when we introduced the products. But not only introduced them but really started hitting volume which, there’s a lot involved with bringing these types of products up the ramp and you’ve done quite a bit of an investment there both in skill set and in equipment. And we continue to evolve these products to improve the price point and the performance of these products. So we think we have a nice lead and our intentions are to continue to focus on that lead by continuing to invest in R&D and continuing to bring out new products which make it harder to catch up with and especially add volume.
Mark Sue: Sure that’s helpful. Now maybe this lastly. Since we are just in the early stages of the LTE ramp, should we expect a wireless component of test and measurement to sort of bump the trend of seasonality or does it still kind of go in with the carrier spending cycles?
Dave Vellequette: It’s still impacted by the carrier spending cycles. I think we will see LTE grow significantly but it still, I think, will be dependent on the carrier getting their budgets together and then rolling out their budget. As we mentioned, that usually doesn’t happen until about mid-quarter.
Mark Sue: I see.
Tom Waechter: I think one thing to note Mark is that the carriers, their reports are out there on how much they’re going to spend and they’re looking to invest more in the wireless area. But when they spend it really doesn’t change much, it’s what they’re going to spend it on.
Mark Sue: Got it, that’s helpful. Thank you gentlemen and good luck.
Dave Vellequette: Thanks Mark.
Operator: Your next question comes from the line of Cobb Sadler with Catamount Advisors. Please proceed.
Cobb Sadler: Hi. Thanks a lot. I have a question on the VMI arrangement for the super transport blade. Is that multiple customers or just one customer?
Tom Waechter: We noted that with the improvement in our supply capability we are able to meet that request from a major customer.
Cobb Sadler: Okay, got it. And did you, a couple breakouts. 50 gigahertz ROADMs is a percentage of total ROADM revenue? I may have missed that if you gave it.
Tom Waechter: No we didn’t break out the ROADMs by products.
Cobb Sadler: Its more, have you said it’s more or less than half.
Tom Waechter: No, we didn’t give an indication of that.
Cobb Sadler: Okay, sounds great. Thanks a lot.
Tom Waechter: Thank you.
Operator: Your next question comes from the line of Troy Jansen with Piper Jaffray. Please proceed.
Troy Jansen: Yeah, so I offer congratulations on the great quarter, guys. This is the follow-up on Cobb’s question on (inaudible) is 100. Are you happy with your 50G ramp?
Tom Waechter: Definitely added additional growth for ROADMs and the product’s been well received as through qualification and most of the major customers. So happy to see that accelerating and it’s in the ramp and it’d definitely helped our volumes in total.
Troy Jansen: And then how about just a quick follow-up. Any color on 40 and 100G as a percentage of sales? Is it less than 5% or just any color there would be helpful.
Tom Waechter: You know we didn’t really provide a breakdown but it still is, it’s a small percentage of our total.
Troy Jansen: That is poignant. Keep up the good work guys.
Tom Waechter: Thank you.
Operator: Your next question comes from the line of Subu Subrahmanyan with Sanders Morris. Please proceed.
Subu Subrahmanyan: Thank you. I wanted to ask about the OpticalCom order volumes. Were actual orders flat, up or down sequentially? And you’d mentioned versus the last couple quarters where we’ve had book to bill well above one. Book to bill was approximately one. And I’m just trying to understand you’re expecting growth off of those levels, have the order rates picked up during this quarter which gives you the confidence on OpticalCom?
Tom Waechter: One of the points we made, Subu, was that it was approximately one, it was right on top of one but it was approximately. And the key point there is that we’re able to do the VMI with the super blade because previously folks had to place orders for that and so that would have put the book to bill greater than one if we had any orders for that product. So we haven’t actually broken out the specific dollar amounts of the book to bill but as you can see from the revenue levels and the fact that if we’re not able to shrink our lead times basically we still see it and based on our projections for the quarter we still see a healthy opportunity out there for us.
Subu Subrahmanyan: Can you give us a sense of, can you just kind of size the super transport blade, gives it a sense of how much that move from orders to VMI.
Tom Waechter: No we haven’t broken that out. It’s in part of the, I wrote a number and I think in the prior quarter we talked about the super transport blade growth but we didn’t break it out in this call.
Subu Subrahmanyan: Could you give us just a MSD revenue number for the quarter?
Tom Waechter: MSD, we didn’t provide the number for MSD revenue.
Dave Vellequette: But I will say that the revenue for the December quarter was greater than the January quarter a year ago that we had before.
Subu Subrahmanyan: Okay, thank you very much.
Operator: Your next question comes from the line of Todd Koffman with Raymond James. Please proceed.
Todd Koffman: Thank you very much and congratulations on your good quarter. I just wanted to ask, as you look at the business, given everything you said, given your guidance, the book to bill, does the business now, given the investment cycles and what’s going on, have a little bit more visibility maybe two or three quarters looking forward or is it still sort of you can only see out about two or three months? Thank you.
Tom Waechter: I would say from my perspective the visibility has improved. It’s not as far out as we would like it to be but it has, over the last few quarters it has improved.
Dave Vellequette: I think the way to look at it is the discussions are very positive. It’s when you get the orders that matter and that’s why we go one quarter at a time so that we can, we have obviously better visibility into that because we start to have more detailed discussions about when orders are going to be and what’s the availability and obviously the carriers haven’t released their budgets yet but we’re obviously pleased with the conversations that we’re having but it has more to do with when you get the orders. And the quarter we’re in is the one we have the best visibility and that’s why we give guidance.
Todd Koffman: Thank you very much. Good luck.
Operator: And there are no further questions in queue at this time. I would now like to hand the call back over to Mr. Tom Waechter for any closing comments.
Tom Waechter: Thank you operator. As our call concludes I’d like to make some final comments. First I am extremely pleased with our performance in fiscal Q2 as we exceeded our previously stated guidance and set records in revenue, gross margin and operating margin. We have successfully transformed our operating model and we’re looking towards setting higher financial targets. Second, our drivers remain strong. Broadband infrastructure growth continues based on steep demand from bandwidth contempt of applications. We also continue to innovate and use our technology to participate in non-TelCo markets such as commercial lasers, currency pigments, brand protection, gesture recognition, solar and 3-D cinema and bully some long-term growth opportunities for JDSU. None of this would be possible without the hard work and dedication of our employees. I would like to thank them for their continued focus, commitment and contribution. I would also like to thank our customers, partners, vendors and long term shareholders for their continued support of JDSU. Michelle?
Michelle Levine Schwartz: Thank you again for taking time to join us on this earnings call. We appreciate your interest in JDSU. As a reminder, JDSU will be holding an analyst day on February 17 in San Francisco. Please see the press release issued today for more details or contact the investor relations department. Thank you and have a good evening.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect your lines. Good day.